Operator: Ladies and gentlemen, thank you for standing by. Welcome to the BOS Second Quarter 2015 Results Conference Call. All participants are present in listen-only mode. Following management’s formal presentation, instructions will be given for the question-and-answer session. [Operator Instructions] As a reminder, this conference call is being recorded and will be available on the BOS Web site as of tomorrow. I would like to remind everyone that this conference call may contain projections or other forward-looking statements regarding future events or the future performance of the Company. These statements are only predictions and may change as time passes. BOS does not assume any obligation to update that information. Actual events or results may differ materially from those projected, including as a result of the changing industry and market trends, reduced demand for our products, the timely development of our new products and their adoption by the market, increased competition in the industry and price reductions, as well as due to risks identified in the documents filed by the Company with the SEC. I would now like to hand the call over to Mr. Yuval Viner, CEO of the Company. Please begin.
Yuval Viner: Thank you. Welcome to all our listeners. We are encouraged by the GAAP net profit results in the first six months of 2015 and we are on track with our projected GAAP net profit for the year 2015. Revenues for the second quarter of fiscal year 2015 and for the first half of 2015 were lower than revenues of the comparable period last year. However, a certain improvement in the gross profit margin in the supply-chain division and lower operational and financial expense led to net profit in the second quarter and in the first half of 2015, compared to net losses in the comparable period last year. The lower revenues in the RFID and mobile division were mainly due to the slowdown investment in equipment by food retailers in Israel. We are working extensively to expand this division’s product offering, probably through an acquisition. Our continuous effort to grow the supply chain businesses through expansion of sales overseas, mainly in the Far East yielded relatively high backlog. We therefore expect the supply-chain revenues in the second half of 2015 to compensate for the division’s lower revenues in the first half of year 2015. Now, I would like to turn over the call to Mr. Eyal Cohen, our CFO.
Eyal Cohen: Thank you, Yuval. Our financial position was improved as of the end of June 2015 versus December 2014. Loans, net of cash and deposits, were reduced from [$3.1] million in December '14 to $2.7 million in June '15. We are working extensively towards synergic acquisitions in order to grow our business. Acquisitions would require additional equity and in certain periods might increase our debt as well. That completes my financial review. Thank you.
Operator: Mr. Viner, can I open the call for questions?
Yuval Viner: Yes.
Operator: Mr. Viner, would like to make a concluding statement?
Yuval Viner: Yes, thank you. We are confident that we will meet our short and long term challenges. Talk to you again in our next call.
Operator: Thank you. This concludes the BOS second quarter 2015 results conference call. Thank you for your participation. You may go ahead and disconnect.